Operator: Good day, and a warm welcome to today's earnings call of the Aumann AG following the publication of the Q3 figures of 2025. I am delighted to welcome the CEO, Sebastian Roll; and the CFO, Jan-Henrik Pollitt, who will speak in a moment and guide us through the presentation and the results. After the presentation, we will move over to our Q&A session in which you have the possibility to place your questions directly to the management. And having said this, we're looking forward to your presentation. Mr. Roll, the stage is yours.
Sebastian Roll: Yes. Thank you. Good afternoon, everyone, and thank you for the kind introduction, and a warm welcome from both of us. For those I haven't met yet, my name is Sebastian Roll, and I'm the CEO of Aumann. And joining me today is Jan-Henrik Pollitt, our CFO. So I really appreciate your interest in Aumann and this earnings call. Over the next few minutes, we will walk you through a brief snapshot of Aumann, the latest developments shaping our E-mobility and Next Automation segments and of course, our financial performance in the first 9 months of 2025. So let's start with a quick look at our business model. We design, as you know, and build high-end fully automated production lines tailored precisely to the needs of our international customers. With decades of experience in automation, industry leaders around the world trust Aumann to deliver innovative solutions. One of our competitive advantages is staying ahead, especially in fast-growing markets, enabling us to quickly provide customized solutions. This is why the automotive market, especially the E-mobility sector remains so attractive forum. In addition, the robotics and automation market is growing rapidly, driven by demographic change, labor shortages and cost pressure. These trends also drive our Next Automation segment, allowing us to use our automation expertise in many industries beyond automotive. Let's take a quick look at Aumann's solutions. Our portfolio range from modular solution and complex process solutions to large-scale production solutions. In modular solutions, Aumann offers standardized cell systems. They enable our customers to react fully flexible and cost optimized on market demands. In addition, Aumann develops production lines for complex processes such as winding, coating and testing. The aim is to implement special process steps in the most efficient way. Moreover, Aumann offers customized large-scale production solutions built for maximum output while ensuring high quality. Thanks to Aumann's wide range of solutions, we can fully support different production goals of our customers. This slide shows how Aumann became a technology leader in E-mobility. Starting from the traditional automotive market, E-mobility was identified as a target market. Through strategic M&A, Aumann took the first step into the e-motor. Building on our know-how, we developed different solutions for the rotor, quickly followed by solutions for the stator and finally, the full e-motor assembly. After the e-motor, we continued our journey using our skills to sell large-scale production solutions for battery modules and packs. In addition, we introduced our own modular systems, for example, for inverter assembly, but also very useful right now in the field of Next Automation. Furthermore, we entered into converting technology. This enabled us to provide production solutions for electrode manufacturing. Aumann is the leading provider of turnkey E-mobility solutions. This illustration shows the drivetrain of a fully electric car and nearly all components can be produced on Aumann production lines. From the very beginning, Aumann has placed a strong focus on the e-Drive unit. Even today, our customers follow very different approaches in developing stators and rotors. As a turnkey provider, we provide the latest production solutions for both, and we go further. With our modular production systems, we have expanded our portfolio to include production solutions for electronic components such as sensors and inverters. This allows us to offer flexible and scalable solutions perfectly tailored to each customer's needs. Now let's shift our focus to our battery portfolio. Here, Aumann benefits from its strong position in the field of energy storage. We cover the full range from battery modules and packs to cell-to-X solutions. This expertise allows us to meet customer needs and develop new solutions for future battery technologies. Let's take a look at the E-mobility market today and in the future. BEV, so battery electric vehicles sales continues to gain traction. In the first 9 months of 2025, more than 9.5 million were sold worldwide. This means a plus of 36% in comparison to the same period last year. China stays in the lead with over 6.1 million units, but Europe follows with strong growth, reaching more than 1.8 million units with 25% increase compared to last year, including Germany with an impressive 38% growth. The U.S. market, which currently shows the lowest volume in comparison, is at least growing by 12%. So this means by 2030, BEVs are expected to make up 40% of sales by 2035, even 2/3. So despite this positive growth perspective, the industry has been slowing down since 2024. The main reasons are the challenging geopolitical conditions. Nevertheless, rising BEV sales and a more stable geopolitical situation are expected to drive new investments in the near future. Let us return to the beginning of the presentation. As mentioned besides the automotive industry, we are shifting our focus on other industries that need more efficient operations, higher productivity and fewer manual steps and errors. At the same time, rising labor costs and the lack of skilled workers are driving companies to automate. In this context, we have moved our Next Automation segment from an opportunistic to a strategic approach. This segment focuses on growth industries beyond automotive, such as defense, aerospace and life science. Let's take a closer look. In our segment, Next Automation, we have defined 3 strategic growth areas. Aerospace is really picking up speed. Demand is growing in civil aviation. Boeing and Airbus expect over 40,000 new aircraft over the next 20 years. In addition, defense budget are boosting. Drones are our focus. The German Armed Force recently decided to procure systems for about EUR 1 billion. Drones combines exactly what we do best. Electric motors, battery pack, full system integration and end-of-line testing, just like in E-mobility, same technology, new applications. Besides aerospace, cleantech is booming. German government are putting EUR 500 billion into infrastructure and climate. This is driving more investment into renewables, hydrogen and energy grids. Our third pillar is life science. An aging population, strong investment and healthy margins make it a very promising industry. Now I would like to hand over to Jan.
Jan-Henrik Pollitt: Yes. Thank you, Sebastian, and also a warm welcome from my side. I would now like to share with you the financial figures of the first 9 months of 2025. Let me start with a quick overview. For 2025, it was clear that we will face a decline in revenue, particularly due to the already weaker order intake in 2024. At the same time, we were committed to leveraging every possible measure to keep our margins at a high level. It is also important to note that especially with regard to the automotive industry, that investment behavior continues to be very cautious. This trend is evident across the entire spectrum of automotive OEMs and suppliers. And unfortunately, we cannot escape its impact. The market environment is still challenging. Under these circumstances in the first 9 months of 2025, we reached a revenue of EUR 158 million, which is 32% below the previous year and in line with our full year guidance. Our profitability remains strong with a double-digit EBITDA margin of 11.6%. Order intake after 9 months amounts to EUR 112 million, which is 29% lower compared to last year. Order backlog reduces from the year-end level of EUR 184 million to now EUR 136 million. Furthermore, our balance sheet remains strong with EUR 160 million net cash. Let us now jump into a few details. Across segments, we achieved a revenue of EUR 157.7 million, which means a decrease of 32% year-over-year. The revenue of the E-Mobility segment decreased by 32% to EUR 129 million. And the Next Automation segment decreases from EUR 42 million to EUR 28.7 million as the previous year contains a larger revenue from a big order in the photovoltaics area. On the earnings side, we only see the volume effect and fortunately, no quality effect. Our profitability shows a stable result despite decreased revenue. EBITDA declines in roughly the same proportion as revenue, minus 28% to EUR 18.3 million, and the EBITDA margin of 11.6% is even stronger than the previous year's level. The solid profitability in the first 9 months is based on a good quality of the order backlog, the strict cost discipline in order execution and the adjustment of capacities to the subdued market situation. The EBITDA margin stands at 11.6%, above our guidance for the full year 2025. So we are currently monitoring the performance of the final quarter and navigating cautiously due to the weak investment climate. Bottom line, 11.6% EBITDA margin mean an EBT margin of 9.5%, which underlines the company's operational performance and volume flexibility. Let us turn to order intake and order backlog. I've already mentioned the weak investment climate. We are operating in CapEx-driven business. And for CapEx, especially large-scale projects, stable conditions and strong, sometimes even bold forward-looking and long-term decisions are required. Currently, many industries and especially the automotive sector are lacking in many of these aspects. But we are far away from desperate. Internally, we are continuously working on optimizing our cost structure and capacities. Externally, we are building new sales and M&A leads. We see significant opportunities and potential for the company, and we are confident that many of these initiatives will resonate well with you. Across segments, we see a decline in order intake of 29% year-over-year to EUR 112.4 million. But on the other hand, the efforts in the Next Automation segment are gradually translated into order intake. Next Automation order intake is increased by 35% year-over-year to EUR 29.4 million, and the sales pipeline is rising. This results in a decreased total order backlog of EUR 135.8 million, which means a total reduction of 39% year-over-year. However, the current backlog is still solid in terms of profitability. Let's take a look at our segments. In the E-mobility segment, order intake of EUR 82.9 million is 39% under the previous year due to the mentioned market conditions. As a result, order backlog decreased by 44% to EUR 105.6 million. At the same time, revenue decreased by 32% to EUR 129 million in the first 9 months of '25. And EBITDA roughly develops in line with the volume effect by minus 27% to EUR 17.1 million, which means a margin of 13.3%. In the Next Automation segment, order intake increased year-over-year to EUR 29.4 million as the new positioning is opening new markets. At end of September '25, order backlog amounted EUR 30.2 million. Revenue decreased due to the large-scale order in revenue last year by 32% year-over-year to EUR 28.7 million. And the EBITDA margin increased by 1 percentage point to 12.3%, which leads to a total EBITDA of EUR 3.5 million. By the end of September 2025, our balance sheet continues to be in a good shape with an equity ratio of 63.5% and [ EUR 120 million ] cash, of which EUR 160 million are net cash. Against the backdrop of the company's solid earnings and net cash position, we have decided today to cancel the acquired shares under the 2025 share buyback program. Around 6,000 shares were transferred in October 2025 to the participants under the 2020 stock option program and the remaining approximately 1.4 million shares were canceled today as a part of capital reduction. Our solid financial foundation will continue to allow us to respond both organically and through increased M&A activities and to ensure further shareholder participation through share buybacks and dividends. To conclude, we confirm our guidance for 2025. In the last years, we increased our revenue by almost 50% and EBITDA by more than 300%. Unfortunately, this year, we cannot continue this trend. The market environment and the noticeable reluctance to invest will lead to a decline in revenue to between EUR 210 million and EUR 230 million. However, on the profitability side, we can benefit from our order backlog and the flexible structure of our company. As said, our current profitability is above our guidance, but we are navigating cautiously and are monitoring the last quarter of 2025. Therefore, we confirm our guidance of an EBITDA margin of 8% to 10%. Let me hand over to Sebastian again.
Sebastian Roll: Yes. Thanks, Jan. So to sum up our presentation, unfortunately, our business in 2025 is also again strongly affected by market uncertainties and low investment activities in the automotive sector. As a result, our order intake declined to EUR 112 million with E-mobility down by around 40%. We are not the only ones. Our automotive customers are facing a year that is at least as challenging as ours. So despite these headwinds, we delivered a strong operating performance in the first 9 months 2025. We achieved a double-digit EBITDA margin because we did our homework. We reduced capacities, made our cost structure even more flexible, and we ensured cost savings in project execution. We also focus on maintaining a profitable order intake, ensuring that our order backlog remains profitable. In addition, our financial position is strong with high liquidity and a solid equity ratio. That clearly set us apart from most of our competitors and give us the freedom to shape 2026. In addition, we are pushing ahead Next Automation, unlocking growth beyond the automotive industry. Due to our strategic shift, Next Automation order pipeline is growing and order intake currently up by around 35%. Our clear goal is to accelerate this growth both organically and through M&A. Thank you very much for your attention, and we are happy to take your questions.
Operator: [Operator Instructions] And I will read the question in our chat box first before I go over to our hand-up. Congratulations on the strong results in a challenging environment, especially regarding the EBITDA margin. Given Aumann's very favorable valuation, a further share buyback would generate a very good return on invested capital in the medium term. What are your thoughts on this? Aumann AG's 2026 estimates of EUR 255 million in revenue and EUR 26 million in EBITDA realistic? And where do you see these figures in the medium term?
Sebastian Roll: Yes. So maybe starting with the question of the share buyback. So our solid financial foundation allows us to respond, let's say, flexible on market opportunities. So for example, this means, for sure, growth in Next Automation, as I said, organically or through M&A and for sure, also to ensure further shareholder participations through, for example, buybacks and dividends. That's why we decided today to retire shares under the 2025 share buyback program to stay ready for sure also for these kind of opportunities. The other question, I think, was concerning 2026. And sure, looking on the current figures, revenue might be weaker again next year. That's something we have to see. But Q4 is not completed yet. So that means relevant customer decisions being made till the end of the year. And then we will put all these information together and to give a picture of 2026. Fortunately, our order backlog is profitable and all the other things we have for sure to calculate and yes, to make our mind after the fourth quarter.
Operator: And I will go over to our hand up from Charlie Michaels. You should be able to speak now. Your microphone is unmuted, but we cannot hear you, Mr. Michaels. I will give you a moment to find the words and go back to the questions in our chat box. Can you reveal more details regarding M&A processes? Are you involved in some? If yes, how many? What about geography in terms of M&A targets?
Sebastian Roll: Yes. I mean we are involved in a handful of these M&A activities. And I think one is the geographical target to have a bigger footprint in North America, as you know. So this might be very important for us also having in mind tariffs. And the other topics for sure is within Next Automation. So we really try to push Next Automation also through M&A. And therefore, we see also some really nice targets right now with a little bit different technology and with an entry, especially in the growth areas we are right now trying to enter.
Operator: And we have the same question in the chat box. I hope all questions are answered by that. Charlie Michaels, would you like to try it again? I can see that you are unmute now, Mr. Michaels, but we still cannot hear you. So sorry. I will go over in the meantime.
Charles Michaels: So Charlie Michaels from Sierra, like the prior speakers and questioners, I congratulate your margins, tremendous work there, not easy in this difficult market environment. And I'm also thinking along the lines of the prior questioners on M&A. So that was an area. I think you've done some share buybacks, which we appreciated so far, too. But at this stage, I'd say it hasn't really changed things too much for the company as we've seen with the share price being relatively flattish. So the idea that you mentioned about acquisitions yourself, right, potentially in the U.S. where you're looking, I would just say that on the acquisition front, I would work hard to accelerate it. And it's not easy, but it seems to be vital for the Next Automation group. And a question -- an angle on that acquisition question is, would it make sense maybe even to consider a merger of equals, looking around for a company that's not too highly valued because that would basically, given your valuation, be difficult. But you're bringing a lot of German technical engineering expertise and a lot of cash -- and because one other issue besides making some bolt-on acquisitions to your company is just the scale of your company. So it seems to me that you can think bigger and even merge with someone in order to create scale. As you know from the past, we've been following you for a decade or so, invested for quite a long time. And I think that it's just hard to change the thing when you're small, right? That's just my thinking.
Sebastian Roll: Yes. Okay, Charlie, I think, as you know, merge is not our first priority. But for sure, given our liquidity, it is possible even to acquire some bigger targets. And we also had to look on some bigger targets as well. I think it's a little bit depending. I mean if it is technical driven and we see some nice technology, some nice processes where we might to find that it is possible to get in a new market or to add something value-wise, then this would make sense. I mean it's not so easy right now because you're right. I mean, most of our competitors, as I said, are not very strong in the position right now. Some of them has an order backlog, which is not really favorable. So -- but for sure, we are looking around. I mean, merge, as I said, is not our first priority. But if there might be a bigger target, for sure, we also would have a look on it.
Operator: And I will move on to Michail [indiscernible]
Unknown Analyst: Yes, I have a question regarding your wording in your report. I assume it changed a little bit from the Q2 wording to the Q3. It turned, in my opinion, a little bit more positive on future orders you can get because yes, you're writing from a really a very bigger sales pipeline and significant investment impulses instead of positive investment impulses a right indication or I'm on the wrong track?
Sebastian Roll: No, honestly speaking, we really hope that you are on the right track, yes. So I mean, maybe because you said having a look on the half year figures. So within the half year, we were roughly 20% above in Next Automation comparison to last year. So we accelerate this a little bit. So right now, we are 35% above previous year, unfortunately, on a low volume, but we are increasing, as you know. And in addition to this, we submitted more Next Automation quotations to customers than ever before, including large projects. So we really hope that in the upcoming quarters, we will see a really positive impact, maybe 1 or 2 large scale orders. So yes, we -- I mean, it's not so easy. I mean, Next Automation means to have new customers to see some other products and to confirm the new -- or to convince -- sorry, to convince these new customers, but it's developing step by step. And yes, it's starting to get fun. So we are really excited.
Unknown Analyst: And then maybe one question on your guidance. I think -- yes, you mentioned yourself that the EBITDA is really -- was really good in the last 9 months or even also in the Q3 stand-alone. So was there any exceptional items we have to think about if you look for Q4 that maybe...
Jan-Henrik Pollitt: So until now, there has not been any exceptional items in the first 9 months. We stay a little bit cautious on the last quarter because we saw a lot of volatility this year. So yes, as you said, the current profitability is higher than guided. And the last quarter is a bit of a mixed pocket when we see also a larger order intake, which is being discussed and where we need to see where the margin is in these projects. And of course, on the volume, which is to come in Q4, it is relevant for us how we behave on the capacity adjustments in the company. And therefore, we are driving a little bit cautious on Q4 right now unless we have a good profitability in the first 9 months.
Operator: In the meantime, we have received no further questions or one more in the chat box. Going back to M&A, could you shed some light on time line? When can we expect information about acquisition? Is it Q1 2026 or later?
Sebastian Roll: I mean we are really working hard on this, but it's a digital process. So I mean, yes, let's see. We hope to be as soon as possible on this. And I think all other things I cannot really confirm right now.
Operator: And with this, we will end the earnings call for today. Thank you very much for joining, listening and all your questions. A big thank you also to you, Mr. Roll and Mr. Pollitt for your presentation and the time you took to answer the questions should further questions arise in the time between now and the Aumann Capital Forum in Frankfurt end of November. Please feel free to reach out to Investor Relations. And with this, I wish you all a healthy autumn week, greetings around the world. And with this, I hand back over to Mr. Roll for some final remarks.
Sebastian Roll: Yes. Thank you. I hope we have shown that Aumann will stay strong in 2025 in another challenging year for our industries. We are focusing on what we can control. Internally, we are optimizing our cost structure and capacity. Externally, as you have seen, we are building new sales opportunities and M&A leads. So we see significant potential in our company, and we are confident that the results will follow, and we look forward to seeing you at the next conferences, and thank you very much for your interest.